Operator: Greetings, and welcome to the Rayonier Advanced Materials' Fourth Quarter and Full Year 2017 Earnings Conference Call. At this time, all participants are in a listen-only mode. A brief question-and-answer session will follow the formal presentation. [Operator Instructions] As a reminder, this conference is being recorded. It is now my pleasure to introduce my host, Mr. Mickey Walsh, Treasurer and Vice President of Investor Relations for Rayonier Advanced Materials. Thank you, sir. You may begin.
Mickey Walsh: Thank you and good morning, everyone. Welcome again to Rayonier Advanced Materials fourth quarter and full year 2017 earnings call and webcast. Joining me on today's call are Paul Boynton, our Chairman, President and Chief Executive Officer; and Frank Ruperto, our Chief Financial Officer and Senior Vice President of Finance and Strategy. Our earnings release and presentation materials were issued this morning and are available on our website at rayonieram.com. I would like to remind you that in today's presentation, we will include forward-looking statements made pursuant to the Safe Harbor provisions of federal securities laws. Our earnings release as well as our filings with the SEC with some of the factors which may cause actual results to differ materially from the forward-looking statements we may make. There are also referenced on Slide 2 of our presentation material. Today's presentation will also reference certain non-GAAP financial measures, as noted on Slide 3 of our presentation material. We believe non-GAAP financial measures provide useful information for management and investors but non-GAAP measures should not be considered an alternative to GAAP measures. A reconciliation of these measures to their most directly comparable GAAP financial measures are included on Pages 26 through 28 of our presentation. At this time, I would like to turn the call over to Paul for his opening remarks.
Paul Boynton: Hey, thank you, Mickey, and good morning, everyone. . I am going to start today's call with a brief overview of recent activities before turning the call over to Frank to review our financial results, as well as our current outlook for the business. After than I will provide a more thorough update on our strategic initiatives designed to growth the company. This morning, we've reported our fourth quarter and full year 2017 financial results, which were impacted by Hurricane Irma as well as an operational disruption at one of our largest customers this past October. As a result, exclusive with the Tembec acquisition, we delivered full year 2017 adjusted EBITDA of $177 million and free cash flow of $96 million in line with our previous guidance. Despite these challenges, we were able to achieve our goal of delivering $30 million of cost improvements for the full year as part of our cost transformation pillar. During the quarter, we also completed the acquisition of Tembec, which is a significant milestone in the more than 90 years history of Rayonier Advanced Materials. Tembec brings a complimentary portfolio of high purity cellulose products given their strength in ethers, which builds our existing strength in acetates and other specialties market segments, creating a global leader of cellulose based technologies. As shown on Slide 4, this combination create a broader and more diverse product offering, which will allow us to better serve our customers globally, while immediately rebalancing our portfolio across acetate, ethers, specialties, viscose and fluff products. Combined, we'll have an attractive portfolio products that is capable of serving a verity of end markets. Additionally, Tembec's pulp & paper and forest products businesses will increase both our product and geographic diversity and provide greater scale to drive growth. Beyond the improved scale and balance across our portfolio, we also see a substantial opportunity to grow the combined company's EBITDA through the four pillars of strategic framework. Specifically, we are targeting approximately $155 million of incremental EBITDA growth focused in four areas. The first is a combination of cost reductions in our core business and a substantial synergies as we integrate Tembec. Second is market optimization, as we leverage our broader product offering and asset base. Third is new product development as we leverage two world-class R&D facilities. And lastly, investments in our business through high return capital projects, stock repurchases and attractive external growth opportunities as part of a disciplined and balanced capital allocation strategy. I will outline these growth initiatives in more detail a bit later in the call. Looking at the combined business on Slide 5, we exited 2017 with annualized pro forma revenues and adjusted EBITDA of $2.1 billion and 369 million respectively. Going forward, we will be reporting our business in three segments, which are high purity cellulose, forest products and pulp and paper. High purity cellulose will comprise the majority of the company's EBITDA, which represented approximately 70% of the company's full year 2017 pro forma EBITDA. Turning to Slide 6, you'll see that by adding Tembec's global manufacturing footprint, we not only enhance our competitiveness through increased geographic and prudency diversification but we also reduced our manufacturing risk given our private opinions on manufacturing facilities in the south eastern United States. The acquisition will also expand our pipeline of innovative products through our R&D facilities in both the U.S. and France. Overall the combination of Rayonier Advanced Materials and Tembec create a company with greater scale, a better balanced portfolio and significant opportunities for growth. I would now like to briefly review each of business segments before turning the call over to Frank. As outlined on Slide 7, our largest segment is high purity cellulose which has four facilities with six manufacturing lines located in the U.S., Canada and France. Five of these six lines are capable of producing the highest grade cellulose known as cellulose specialties. Rayonier Advanced Materials has been the market innovated and leader in this industry for 90 years. With the addition of Tembec's leading position in ethers, we are now number one or number two manufacturer in every cellulose specialties end market which we serve including acetates, ethers, MCC, tire cord, filtration, casings and nitrocellulose. Additionally, this segment provides commodity viscose for the textiles market and fluff used in consumer application, which provides us with a greater flexibility to service all of our end markets. Combined, we will benefit from greater diversification in this segment along with stronger fundamentals at ethers and our other niche products are currently experiencing. We also believe we have many high return investment opportunities in this segment. Turning to our forest product segment on Slide 8. We have seven facilities in Canada with a capacity of 770 million board feet which produce a range of commodity lumber products used primarily for the residential and commercial construction in the U.S. and Canada. Sales are roughly spread evenly between the U.S. and Canada with a current 20% duty applied to shipments into the United States. Historically these duties have been returned to the Canadian producers as part of our final settlement between the countries. In addition to producing lumber, this segment also and importantly produces byproducts of chips which are used as key materials for the pulping assets in Canada. In fact, our lumber facilities have the capacity to supply all of the chip needs for our Canadian pumping assets. With a stronger U.S. housing market outlook, we believe this business will remain stable and profitable. Furthermore, we see significant opportunities to prudently invest in high return capital projects in this segment as this is an intergrowth part of the supply chain to our high purity business. From Slide 9, our pulp and paper segment comprises forest facilities in three locations across Canada which produce paper board, high yield pump and newsprint. Our paper board facility has a capacity to produce 180,000 metric tons of lightweight paper board used at a verity of applications including greeting cards, lottery tickets and packaging for consumer goods. Our paper board business is a nice addition to the portfolio with stable demand and opportunities to drive long term growth. We also have two high yield pulp facilities, one in Matane and other in Temiscaming, Quebec with a total capacity of 570,000 metric tons. Most of these facilities sales are exported to Asia and Europe, primarily for the use in the packaging, paper and writing markets. The Temiscaming mill also supplies about 60,000 metric tons of high yield pulp to our adjacent paperboard facility. Lastly, our newsprint mill in Kapuskasing, Ontario is a low cost facility with 205,000 metric tons of capacity that is well positioned to be a long term provider in a declining newsprint market. Overall, this more diverse product portfolio provides expanded opportunities to drive incremental growth and value for our shareholders. With that, I'd like to turn the call over to Frank to discuss our financial results in more detail.
Frank Ruperto: Thank you, Paul. Starting from Slide 10, I'll now review our financial highlights for the full year 2017 which include the results of Tembec's operations for the approximately 6 week period following the closing of the transaction in November 2017. Sales for the year came in at $961 million, up 11% compared to 2016 which was mostly attributable to the acquisition of Tembec. Excluding the acquired Tembec revenue of $139 million, sales decreased by $47 million or 5% year-over-year. As expected, this was driven by a 4% decline in CS prices and volumes. Additionally, commodity sales volumes decreased 3%. Volume declines in CS and commodity products were primarily due to the impacts of Hurricane Irma, a production disruption at a major customer and production issues. These declines were partially offset by improved commodity sales prices due to stronger markets, which resulted in higher sales prices for both commodity, viscose and absorbent materials. For the full year 2017, operating income was $57 million, down $81 million compared to 2016. Excluding the impact of the previously mentioned acquisition related costs and inventory fair value write up, full year 2017 adjusted operating income was $114 million, down $24 million from 2016. As shown on Slide 11, our results for the full 2017 reflect lower prices and volumes driven by the price and volume declines in CS and volume declines in commodity products partially offset by higher commodity sales prices. Meanwhile, cost impacted full year 2017 operating income by $17 million compared to 2016. We captured approximately $30 million of cost improvements through the full year of 2017 which is in line with the goal that we set out to achieve at the beginning of the year. However, the savings we achieved from cost transformation were more than offset by cost incurred to achieve future savings from our strategic sourcing project, higher production expenses due to our sales mix, chemical prices and production issues, as well as investments that we made in customer product development. Lastly, on Slide 11, our SG&A and other costs for the full year were flat to the prior year. While Tembec operating income excluding the write up of inventory provided a $26 million benefit for the approximately 6 week period in which we own the business. We also remained focused on driving cash flow throughout the organization. As shown on Slide 12, we generate $130 million of operating cash flow and $91 million of adjusted free cash flow through the full year 2017. Our net debt at the end of the fourth quarter was $1.2 billion. Meanwhile, our total liquidity that is $312 million including $96 million of cash and $216 million available under our revolving credit facility after taking into accounts outstanding letters of credit. Following the acquisition of Tembec, we expect our run rate interest expense to be approximately $63 million with the midterm target leverage ratio of 2.5 times net debt-to-EBITDA. From Slide 13, we anticipate that our effective book tax rate will be approximately 25% to 30% over the next three years. On a cash basis, we expect to pay approximately 10% over the same period as we will benefit from Canadian tax attributes including net operating losses created by legacy Tembec. Turning to Slide 14, I'd like to discuss our initial outlook for the full year 2018. We expect CS prices to decline 4% to 5% primarily driven by reductions in acetate pricing, partially offset by price increases in ethers and other end markets. We believe our 2018 acetate pricing is now consistent with our competition. The price premium that we previously enjoyed has been compressed as our contracts approached expiration and our customers look for competitive bids. These negotiations, we were able to retain and extend contracts with two of our largest acetate customers through 2020 at these reset price levels. Lastly, we expect that 2018 CS volumes will be similar to 2017 volumes. Commodity pricing is expected to remain flat over the full year. While, volumes for the full year are also expected to increase in 2018 as we increased our productivity. Overall, profitability for the high purity business is expected to be more back half weighted due to all four facilities performing planned maintenance outages in the first half of 2018. Pricing for forest products remains at record levels. That said our Canadian lumber business will be impacted by import duties on its sales into the U.S. which represents roughly half of its total sales. As a result, we currently expect that these duties will reduce EBITDA by $25 million in 2018. Historically, the collective duties have largely been returned to Canadian producers upon a final trade agreement. In pulp and paper, we are expecting stable paperboard revenues would decrease profitability, due to higher raw material costs as commodity pulp prices are at peak levels. Conversely, our high-yield products are benefiting from these peak pricing conditions, which are driven by increased Chinese demand for high-yield pulp due to restrictions on imports of recycled fibers into China. Pricing is forecasted to come off these peak levels in 2018. Lastly, in newsprint, products reduced capacity is 18 prices. However, continued decline in demand combined with the potential for additional duties could negatively impact profitability. On the cost side of the equation, as we look to build upon our progress in 2017, we are reiterating our 2018 cost transformation target of $25 million. Investments made in 2017 into our strategic sourcing project are expected to provide the material portion of cost savings in 2018. Additionally, we are targeting $15 million of synergies from the integration of Tembec in 2018. We expect that these total cost savings offset higher than usual increases to raw materials, primarily driven by chemicals and energy. Specifically caustic prices which are single largest chemical purchase are expected to increase materially from 2017. Energy prices will also be up year-over-year but more weighted towards the first quarter. In total, we saw raw material inflation of approximately 3% to 4% for the year. Lastly, in 2018, we currently plan to spend approximately $150 million in capital expenditures across the business depending on our ability to evaluate and implement our strategic capital projects. Approximately $105 million is related to custodial maintenance. With the remaining $45 million related to high return strategic projects. As a reminder, our planned maintenance outages for our high purity facilities are all in the first half of the year. As a result, we expect CapEx to be more weighted towards the front half of the year and profitability to be more weighted towards the back after the year. I now like to turn the call over to Paul.
Paul Boynton: Thank you, Frank. Look the actions we've taken over the past three years to reduce costs and increase our financial flexibility positioned us well for the acquisition of Tembec. The skills that we learned in the process gives us great confidence in our team's ability to drive additional value across a large organization. As I discussed in my opening remarks, we see the potential to drive $155 million of incremental EBITDA through the successful execution of our four strategic pillars of growth by the end of 2020 as outlined on Slide 15. The largest component will be through cost transformation where we will take our synergy goal from the integration of Tembec from $50 million to a $75 million target. As outlined on Slide 16, we except to achieve a majority of the synergies by leveraging the scale of the combined organization to drive incremental value through our supply chain. We also drive process improvements across the entire organization as we strive to deliver increased production yield as well as achieve operational and manufacturing efficiencies. Additionally, we have identified overlap across our organizations in the form of systems and spending which we will eliminate along with a focus on reducing general corporate overhead. As can be seen on Slide 17, we expect to achieve $40 million of cost transformation in 2018, $25 million of which will come from our legacy program and $50 million from synergies. In addition to our cost transformation program, we have outlined a plan to deliver $50 million of EBITDA growth by 2020 through our market optimization pillar as highlighted on Slide 18. Our goal is to optimize our broader cellulose specialties product offering and global asset base factoring in our customer needs and transportation efficiencies to drive higher value for our customers and for our company. The third pillar of our strategy is new product innovation which remains a key priority for the company. Our focus is on making commercially attractive products that can drive growth in our existing businesses as well as provide us entry into other attractive and faster growing segments. We also begin to leverage Tembec's world-class R&D facilities as we work to accelerate growth through innovation. As can be seen on Slide 19, we are advancing projects with a strongest growth potential through our six stage gate process. In late 2017, we commercialized OptiSilk, an innovation within our high purity commodity products, which we expect to deliver $5 million of EBITDA in 2018. Additionally, there are several other products which are nearing commercialization including new Biofloc and Sapphire products, both of which focused on the high viscosity ethers market. Our pipeline of new product development remains deep with many products that are showing products in the lap which taking together provide confidence in our goal of delivering of $15 million of EBITDA growth by 2020. Our fourth strategic pillar is focused on delivering a disciplined capital allocation strategy centered on maximizing our risk adjusted return on capital as outlined on Slide 20. With this framework, our first priority is to deliver our balance sheet in order to reach our target net leverage ratio of 2.5 times EBITDA overtime. Beyond delivering, we also allocate capital towards growth CapEx, acquisitions and other investments to complement our core business as well as return capital to shareholders through buyback and dividends as appropriate. As outlined on Slide 21, we are current reviewing approximately $90 million of high return capital projects which are focused primarily on our higher priority and forest product segments. We view these projects as relatively low risk with payback periods averaging less than two years. As part of our valuation process, we are processing on those projects have the strongest returns and that to strengthen our position in our core markets. Given the strong return potential that we see, investment of these projects is the first priority for our excess free cash flow along with prepaying debt. As part a disciplined and balanced capital allocation strategy, we've remained committed to returning cash to our shareholders to our current $0.07 per share quarterly dividend, which we review each quarter. Additionally, our Board of Directors authorized a $100 million share buyback on January 29th as highlighted on Slide 22. While we do not expect to immediately use this authorization we believe this provides another option to maximize long term shareholder value as we execute on disciplined and balanced capital allocation strategy. To conclude, our acquisition of Tembec is a transformational event that will provide a significant opportunity to growth the earnings power and cash flow of the company. Thank you again for your time this morning. Operator, please go ahead and open up the call for questions.
Operator: Thank you. We will now be conducting a question-and-answer session. [Operator Instructions] Thank you. Our first question comes from the line of Steve Chercover with D. A. Davidson. Please proceed with your question.
Steve Chercover: I should join the game show. Good morning, everyone.
Paul Boynton: Good morning, Steve.
Steve Chercover: I don't want to focus too much on acetate, since it's now only 25% of the revenue but I still have a couple. So, first maybe you could just help us beyond cigarette, what are the other applications for acetate?
Paul Boynton: Steve, again morning. .Beyond cigarette, main application out there is a protective layering for LCD screen is probably the main other one. There is other application as well. So your speed rates and for coding as well as and some textiles, some high end textiles additionally.
Steve Chercover: So you kind of answered the question as to why had the premium, now the contracts through 2020 they will remain with the current price, there is no negotiation for next two years?
Paul Boynton: So look we said, Steve, you know those contracts give us a stable position going forward in the next handful of years. Let me just say, look we feel very position about the CS business somewhere we are in the cycle. In fact, I think we got more confidence now than we have had in the past five years. And as driven we've talked about that in the call that the ethers and our other non-acetate segments are achieving prices increases which is great and we haven't had for some time and in some cases well above inflation. And additionally these markets are growing at pretty reasonable levels. And again in acetate, what we basically do, we just made a decision reset our prices to be very completive and what I described in November which is a very competitive market. I think the difference we have Steve, in this time around which is different than past four years which is where our competitors continuing prices down and we either had to follow or create an increasing gap between us and the market or both. And this year we actually believe we reset to the market and therefore that reset is relatively stable. But our competitors were relatively stable out there in the market as we even looked at. We were just higher to the market and we came in with a real competitive price and stayed at a competitive price we think going forward. But again that's based on the contracts we have we just feel like we're in a much different place than we have in the past in our market. And again we would say that we feel like the outlook is far more positive than we had in the past.
Steve Chercover: Yeah, that's very encouraging. With respect to the margins, are the margins in ethers and other cellular specialties similar?
Paul Boynton: Yeah. I would say they are similar. I think you had to look at it by product-to-product, customer-to-customer they vary a bit. But I think as you look at where we are sitting here in 2018 that these margins between ethers and acetates are pretty comparable.
Steve Chercover: Okay, knowing a little history of the Tembec now, I think that mill was refers prior in the New York Time, is that still the case?
Paul Boynton: So, yeah that mill that you are referring to that's actually in the newsprint segment. So - and the answer is yes, originally it was built and constructed a joint arrangement between Kimberly Cork and New York Times. But that's some time ago. That facility is feeding into a declining newsprint market but has got incredible low cost position in the market. So we think from that perspective it is good place to be if we're going to be in the newsprint market.
Frank Ruperto: And I just add, the customer base is relatively broad, so it's not relied on what customer.
Paul Boynton: Right, thanks Frank.
Steve Chercover: Yeah, and of course I was referring to newsprint since New York Times. And then I wanted an update please on the LignoTech JV and is that going to start contributing this year even though I recognize it's below the line?
Paul Boynton: Yeah, that should start contributing this year, Steve. It's scheduled to be running mid-year, so we should see that in the second half starting to come through.
Steve Chercover: Great. And then my last one, I'll get back in queue. You know how much should we factor in some Tembec corporate costs and as the elimination of the duplication in synergy?
Paul Boynton: Yeah, I think Steve, if you look at and you added the two companies together before we've given you this perspective of roughly $75 million in synergies and we've given you a breakdown of where we think those synergies should come from Page 16. So you can see the SG&A and public company cost of roughly $15 million. Some of those will come very quickly, obviously we don't need two CEOs and CFOs and some of the senior management, others will come more overtime through increasing efficiencies within the broader business standardizing processes in centralizing operations.
Steve Chercover: Great and thank you both.
Paul Boynton: You're welcome.
Frank Ruperto: Thanks Steve.
Operator: Our next question comes from the line of Chip Dillon with Vertical Research Partners. Please proceed with your question.
Chip Dillon: Yes. Thanks. Good morning, Paul and Frank.
Paul Boynton: Good morning, Chip.
Chip Dillon: First question is to do with helping us understand the paperboard business you acquired, it seems to be sort of a hybrid grade if I'm not mistaken. Is it fair to say you put it to the fiber in there from your high-yield area and then you buy I guess mostly NBSK or other lease pulps on the other layers and then that's the two thirds that you have to buy, pulp you have to buy and is most of that board sold in North America or is it sold elsewhere?
Paul Boynton: So, first you got to get understanding of the product. You're right. It's a three layer multiply type of product and you're correct. This the center layer is coming from our own operations, our high-yield operations right there and in Temiscaming. The markets for it, again are into the lightweight packaging, lottery tickets, cardstock and it is feeding mainly into the regional area even, it's North America but even into the greater Northeast Great Lakes area.
Chip Dillon: Okay. That's right. It was actually in the Slide, I still remember that. That's helpful. And as it priced, I guess it's priced in between like the CUK grades and the SBS grades, is that kind of a fair guess or is that barking up the wrong tree?
Frank Ruperto: No, in fact Chip, on Page 24 of the materials, we put in some of the key industries that we look at there and the best industry for that is really your SBS 16 point is where you typically see this product sold into.
Chip Dillon: Okay. That's clear. And then second question is, you mentioned $155 million EBITDA goal improvement goal by 2020. And I just wanted to understand should we base that off of the pro forma 2017 and I guess and so we and how should we think about the $40 million really $65 million sort of back track that you have in two of your businesses I guess $40 million from the price change and cellulose specialties in the $25 million in the - of course I don't know maybe you're assuming that those go away by then but could you just enlighten us to how we should think about that plus other cost issues that might be offset?
Frank Ruperto: Sure. I think that that's fair and so the $155 million is goal for incremental EBITDA. When we say incremental EBITDA that's before a couple of things. It's before, number one, any changes in our prices positive or negative, right. As Paul pointed out, we've seen good pricing in the ethers market and he's commented on the acetate market as well. So plus or minus will impact that number. And then on the negative side you've got - on the tailwind side, you've got whatever cost inflation that you might have there to potentially impact that. Those are the two biggest components, so changes in our prices plus or minus could either increase or decrease that and then your inflation obviously will be a drag on.
Chip Dillon: Okay. That's helpful. And then just last question is, I notice you appointed two new directors or nominate two new directors and I know one of the gentlemen is from one of your owner, one your share owners and then I think Ms. Dill, is she the Communications Director at Spectra, is that is who that is?
Paul Boynton: Yes. So Julie Dill, correct. So let me just give you a background. First of all, obviously we did add two new directors, we put that up this morning. We're much bigger company now because as you aware that $2.1 billion of operating and net operating in regions that are new to us around the world. And second ultimately where we've got a director who's retiring. So with Julie Dill we're adding a really a seasoned financial background person. She's run of a business for some time in Canada and you're correct with Spectra Energy, where they were recently acquired and so Julie step down and her background at the time or her role of the time was the Head of Corporate Communications as well as Investor Relations. So she were at both at the point where they were acquired. And I'm also bringing Matt Hepler on. You're correct. Matt is out of Marcato, which is a large investor in our stock. But Matt bring some real good expertise as well and particular as we think about equity value per share. And so we're glad to have Matt also on the board. And we had to make discussions with Marcato and we are absolutely aligned in our strategic direction with them. So we thought it was a real nice complement to have him and a great fit for Julie to come on our board.
Chip Dillon: Okay. That's very helpful. And just a last question. If you look at the Slide that shows the year-over-year, I think it was EBIT improvement. There's $26 million from Tembec which obviously own them half a quarter and you certainly on expecting us to or you probably don't expect to see that $200 million annualized contribution off the bet for a lot of reasons. But I would imagine a lot of that was influenced by the inventory adjustment which I know it's a pure counting situation and you're I believe totally right not charge yourself for the write up. But I was actually amazed by how much the write up was. Any lightness on that were there like low cost LIFO layers that were written up or were those inventories at a sort of average current cost, I can't see that especially with the costs going up the way they are?
Paul Boynton: So Chip, the write up obviously as you now have to when you acquire inventory, it has to be written up to fair market value. Right and so the markets in forest products, high-yield and some of the other markets were exceptionally strong at the end of the year and we've seen near records in the lumber markets and some of the high-yield markets. So that strong pricing relative to the cost those were on the books when you write those up to the fair market value at the time of the acquisition, you see a big write up there.
Chip Dillon: Well I get, I guess what I would say too is I mean lumber you mentioned how strong pricing was it's only higher now and you mentioned pulp has strong pricing was, it's only higher now so I just I would imagine that you have a head of steam at least they're coming into the first half and yet you seem to be a little more cautious about the outlook for the first half of the year. So I just want make sure I'm not missing something there.
Paul Boynton: Yeah. So we'll have higher duties for the first half of the year on our lumber business than we had last year, so you'll see those duties heading there. We've also got some modest newsprint duties that have been put in place for the business. And then obviously, we don't forecast necessarily commodity prices for the public. So I think you've got to think through how long that pricing will stay at the levels they are currently at.
Chip Dillon: Okay. That's all. Very helpful. Thanks so much, guys.
Paul Boynton: Thanks Chip.
Operator: Our next question comes from line of John Babcock with Bank of America Merrill Lynch. Please proceed with your question.
John Babcock: Hey, good morning. Just wanted to get a little bit more clarity on that $155 million of incremental EBITDA, clearly you guys raise a synergy target $25 million. Just want to get a sense for what else in there is ultimately incremental to your past guidance? Particularly on that investment M&A side, it seems like I thought you guys have been guiding to $50 million in incremental EBITDA from its already CapEx and want to get a sense for whether you raise out or whether there's M&A in mind, any additional color you can provide to be helpful?
Frank Ruperto: Yeah John, I would not push that into the M&A category. I think that's a perspective of if we take out a large chunk of some of these high return investments, we believe that we should be able to deliver roughly $25 million in incremental EBITDA and that $90 million is really the front end many projects that we're going to review as we move forward here. But as we said, these projects are both strategically and financially compelling. They're mostly in the CS and forest products business. They are known technologies in many cases and lower risk with very, very good payback of less than two years in many cases.
John Babcock: Okay. And then just with your CS synergies, where did the incremental $25 million come from?
Frank Ruperto: When we got in there and started looking, we saw and I think I've referenced this on the last call without qualifying it, we saw no downside to our initial estimates and in fact only saw more opportunities the deeper we got into the acquisition. So I would tell you, it's relatively across the board, heavily weighted to the operational and manufacturing and supply chain areas.
John Babcock: Okay. Thank you. And then if you could talk about some the maintenance you are doing, if you could provide any color as far as which mills that might be in, any additional details there would great?
Paul Boynton: So, and Frank can jump in. Look John, we are doing maintenance across the board in all our of our facilities, but this year we just happen to have all four of our CS facilities down in the first half of the year and we're doing routine maintenance, I don't think anything particularly large or in any way are unusual in that regard but all four of them are down in the first half a year and all four are getting maintenance capital investment into them.
Frank Ruperto: Yeah. I think that's fair.
John Babcock: And then also as you think about investments that you were just talking about that are going to contribute to EBITDA particular on the lumber side of things, how do you gauge essentially when you're going to take down time for those particularly concerning markets are pretty strong right now, are you probably want to benefit from the higher price scene, but then on the other hand, you also want to start to get those mills up to par, how you think about timing for the downtime on those?
Paul Boynton: Yeah, and we'll do this obviously project by project John and lot of those projects are relatively small in size. They're also pretty standard off the shelf technology. So a lot of them don't involve much down time whatsoever or because you can put them in parallel and just move right to home. So we're not seeing any major downtime as a result of them. We're going to have some facilities down for a little bit of time. Just to your point we're going to be very careful about when we do it, how we do it to minimize that given the strong markets. But again we've got seven different lumber facilities, we're going to be look at our projects have really short term payback with really well known technology. So this is not something that's kind of way out in front. This is stuff that we believe could've been done some time ago, we're glad to have the option you do that and bring these facilities more in line with where they should be operating. So again, we think it's very encouraging and a great opportunity for us and the new company going forward.
John Babcock: Okay. Thank you. That's all I have today.
Operator: [Operator Instructions] Our next question comes from the line of Dan Jacome with Sidoti. Please proceed with your question.
Dan Jacome: Good morning.
Paul Boynton: Good morning, Dan.
Dan Jacome: Thanks for the time. Most of my questions have been answered. I was just trying to figure out how you guys are thinking about the housing market over the next couple years. Can you give us your line of sight or if you have one and what sort of things are you looking at versus what we're hearing from the other forest product companies, I mean housing starts build your confidence anything else that you guys are looking at that gives you confidence or are maybe not for the next couple years in housing? That was my first question I'm just curious?
Paul Boynton: Dan, we're looking at basically what most of the forecasters are looking at which is stable moderate growth, nothing exceptional but just consistently growth over the next several years.
Dan Jacome: Would you label that as kind of mid-single-digit growth in housing starts or you assuming something drastically different internally?
Paul Boynton: All of our perspectives here Dan are again right in line with the market and everybody else reap on them. So we're pretty tight to that average, we don't see anything different than that which is again is much as modest growth but continued growth. And again the backdrop of that is also a continued positive economy in both the U.S. and Canada.
Dan Jacome: Okay. Fantastic. And then just on the buyback really interesting, can you give us a little flavor of how those discussions that went about, what was discussed, any incremental color just to help us understand because I mean it looks pretty encouraging it's about 10% of your market cap right now, so anything on that?
Frank Ruperto: Sure. We've said before Dan that we've talked to our board latterly every board meeting on share repurchases and share buybacks and that type of thing. And as you know our business was in a declining profitability mode over the last several years as we've had some facing significant declines and as stay prices in general. I think with the new portfolio of businesses and the longer term potential for cash flow, we're really looking at how do we allocate our capital in a balanced manner and risk adjusted manner across all of the opportunities we have. So we're looking at the investments we have in the existing business that are high returns opportunities, looking at the external investments, looking at the leveraging, and then finally looking at the ability to return capital to shareholders at levels we think could be attractive from a relative to the other investment opportunities. So as Paul pointed out, our goal is to get the leverage down into the mid twos overtime that will come through both investment in a company to drive higher EBITDA as well as some debt repayment. But then after that we're going to look very closely at return of capital and also measure those investments in the company relative to those returns of capital. So in the intermediate term, I think will be buying back stock in the near term, we'll probably be more focused on the investment. But if the market dictates, we see market dislocation that makes our stock look attractive. We may very well buy back shares in the near term.
Dan Jacome: Okay. Great. And then on ethers, just remind us again what's like the normalized growth profile for that longer term that you guys are thinking about? What is it growing across the industry?
Paul Boynton: I'm sorry, what was the last part Dan?
Dan Jacome: Industry wide, so industry wide, what is happening with ethers like what are the year-over-year increases or whatever?
Paul Boynton: Yeah, we've noted in here and on Page 7 that the demand outlook looks gets growing in that 3% to 4% range, some segments are growing above that, others are right at that 3%. So it's a well above kind of a GDP, Global GDP type norm which is again part of the rationale that we said look we want to grow that part of our portfolio and led us to the acquisition of Tembec because they had a real nice position in it. And so we're looking at that. And with that there is some opportunity there and we talked about some of our new products that are focused in that area and there are really focused is some areas that we achieve currently with wood based ethers, the products we make in there. We think we've got some technologies to really push up into getting share into the cotton winter part of the ether market. So that's where we're very excited about. So there's growth in the market of all overall and also some growth opportunities to kind of push into some part of it is currently being provided by non-wood based competitive alternatives. So we've got a couple different aspects here that make us very excited about the ethers market.
Dan Jacome: Yeah, that's interesting. Those technologies where they inherited from the Tembec portfolio or is that something you had all along that I just missed?
Frank Ruperto: Yes. So they are in both. One is on our Sapphire platform and so we've been talking about that that continues to move through the stage process very nicely. And other is coming in from - actually to others coming in from Tembec and their R&D center. So - and of course now that we combine those teams are rapidly exchanging ideas how to really optimize around this market segment. These things always takes some time, customers got a qualifying, customers got to work with them and so it's not an overnight thing, but it's been a very encouraging thing for us again now because the segment itself is growing but we think we've got some tools now and our kit that take us beyond what others could conventionally do in our space.
Dan Jacome: Very nice. And then my last question kind of a weird one. Is there going to be a change in the way you guys report. I'm just thinking about future press release is given it will be a significantly different company. Is that going to change at all, sorry I missed any of that?
Paul Boynton: Could you clarify that?
Dan Jacome: Are it's going to be a change is how you report for future press releases like any segment breakdowns or anything?
Paul Boynton: Sure. The segments that we're going to report on are going to be our high purity cellulose segment, which includes our cellular specialties, viscose and commodity absorbent materials. The second segment will be forest products and that will be our lumber business. And the third segment will be pulp and paper and that will include high-yield pulp, paperboards and newsprint.
Dan Jacome: Three segments. Okay. That's it. Thank you.
Paul Boynton: Thanks, Dan.
Operator: Our next question comes from the line of Paul Quinn with RBC. Please proceed with your question.
Paul Quinn: Yeah, thanks very much. Morning Paul, morning Frank.
Paul Boynton: Morning, Paul.
Paul Quinn: Just a question, Tembec had an agreement with the Quebec government to accelerate some CapEx funding, is that in place for you guys and what's the state of that program?
Frank Ruperto: Yes, it's in place, we have been so spending money against that program and will continue to look at those projects and move forward with that program.
Paul Quinn: Okay. So that $45 million of CapEx for high return that's your net and you'll be doing more projects under that?
Frank Ruperto: That is a net number and that is just for 2018 and if you remember that that program was a three year program.
Paul Quinn: Great. Okay. And then just trying to see in the guidance in lumber duty, is it $25 million, if I used the your what you stated on volume 665 and net, it of assumes that you're making assumption that on lumber praises around 400 bucks a thousand where I've got random over 600 now got start of 450?
Frank Ruperto: So, Paul, I think we put out our best estimate on that $25 million. So we know that the pricing may change over time, but as you know if you look at our Page 24, what we've looked at last year was 465 roughly were random and 444 and that's up to 534 but studs down more like 400?
Paul Quinn: Yeah, then that was December were quite a bit higher than that now.
Frank Ruperto: Right.
Paul Quinn: Okay. So you basically off last year's pricing deck?
Frank Ruperto: Pretty much and it's going to be 21% or sell of whatever the pricing back that you use.
Paul Quinn: Okay. And then just on a commodity cellulose, just wondering if there's a mix, how we should think about that side of the business, mix change going forward, just to understand that Tembec produce quite a bit of viscose as well?
Paul Boynton: Yeah, that's right, Paul. So, we guided in the past that our legacy RYAM mix would be more heavily weighted to viscose over fluff in this most recent 2017 period. You're correct to say that that Tembec is going to bring even more viscose into that mix. And so therefore yes we're going to move up even higher that as a total percent weighted towards viscose over fluff board.
Paul Quinn: Okay. And then just lastly just understanding the acetate pricing drop, if their overall prices are going for down 4 to 5 and we've actually got growth in ethers and there is which to make a growth the year before, it sort of suggest that acetate price were down in the 7% to 8% range, is that close to what we're seeing?
Frank Ruperto: Yeah, we haven't given that out, but I think you're doing math in the right area which is clearly the acetate prices had to be dropping above that 4% to 5% range. And yeah and again we just look we said, we are going to talk about, we kind of pull the Band-Aid off and said let's just be market competitive here is what our customers want, it's good for the long term, let's move forward and that's we are trying to reduce the conversation on it, and that's good healthy with this business and see if we can show increases and gains and margins and profits in all our segments on board, I mean that's our goal.
Paul Quinn: All right. And then just lastly, annual EBITDA guidance which you've provide in the past year and you're not providing here, you are going to provide in the future?
Frank Ruperto: No, we will be providing the annual EBITDA guidance I think Paul, like many of the competitors that have mixes that have very high commodity mixes in them. It's very volatile based on where pricing moves on a year-over-year basis. What we've tried to do in this deck is to give you the things that we look at from pricing outlook for the commodity businesses back in the appendix and then give some pretty specific guidance on pricing, volumes, cost inflation et cetera for the CS business.
Paul Quinn: All right. Fair enough. Good luck, guys.
Frank Ruperto: Thanks, Paul.
Operator: Our next question comes from the line of Roger Spitz with Bank with America Merrill Lynch. Please proceed with your question.
Unidentified Analyst: Hi. This is Bill on for Roger. I apologize if this is covered already, but would you be able to provide 2017 sales numbers ex-Tembec?
Frank Ruperto: Yeah, I think that was in our script. We just pull it up. So total sales numbers would be 800 and - I'm sorry 961 total less $139 million for Tembec.
Unidentified Analyst: Great. Thank you.
Frank Ruperto: 22.
Unidentified Analyst: Got it. Thank you.
Operator: Our next question is a follow-up question from John Babcock with Bank of America Merrill Lynch. Please state your question.
John Babcock: Just want to actually follow-up from Paul's question and try to get a little bit more detail on the EBITDA side of things. So you mentioned that 2017 pro forma EBITDA was around $369 million. Is there anything as we're looking out to 2018 that we should be adding back clearly there was a hurricane impact on RYAM side, you also had the customer that experience an outage there. Is there anything else on the RYAM side and also is there any on the Tembec side that we should be thinking about heading back to?
Frank Ruperto: Yeah, so what we've looked at is roughly a couple of things. One is we've said that volumes are going to be roughly flat with last year from a CS perspective and that pricing is down 4% to 5% from that perspective. We've also said the duties are going to be $25 million and cost inflation is going to be a little bit higher than historically, it's going to be 3% to 4%. We've typically said 2% to 3% but we've seen some escalation in commodity chemicals caustic in particular. Additionally, the very cold weather in the U.S. South has increased energy cost in the first quarter so you'll see a little bit of that inflation coming through. But those are the major areas. And then we've got the synergies in our cost transformation, some new products/market optimization, Paul mentioned the $5 million in OptiSilk that we've seen this year. So those are the key the key drivers and then it really all depends on pricing for forest products, lumber high-yield pulp and newsprint will be the big changes.
John Babcock: Okay. But were there any other onetime items that happened last year that we should be aware of?
Frank Ruperto: No, not really.
John Babcock: Okay. So I covered most of that with the hurricanes and the customer outage, really.
Frank Ruperto: Correct.
John Babcock: Okay. Appreciate that. And then just lastly before I hand it over, just on the mainland side of things. Is there a way you'd have us quantify that impacts whether based on kind of past present or if there's a way on a part time basis anyway you could kind of give us some numbers around that would be useful?
Paul Boynton: But both we and Tembec has always taken maintenance outages, so these are typical to what you'd see in any year for us. So you won't see a major delta, what you'll see though is unfortunately there will be in the more up weighted in the first half of the year. So depending on that and timing of customer orders, we think that will be 40% to 45% probability in the first half and 55% to 60% of the profitability will be in the second half.
John Babcock: Fair enough. That's great. Thank you.
Operator: Mr. Boynton, we have no further questions at this time. I would now like to turn the floor back over to you for closing comments.
Paul Boynton: Hey, great. Thank you. If there's no more questions, I just want to thank everybody for joining us today. Obviously, we're very excited about the opportunities in front of us and we look forward to delivering on our goals. We'll continue to provide updates and our progress in a timely manner as we move forward. So thanks everybody. Have a great day. Appreciate your time this morning.
Operator: Ladies and gentlemen, this does conclude today's teleconference. You may disconnect your lines at this time. Thank you for your participation and have a wonderful day.